Operator: Thank you for standing by. Welcome to Papa John's First Quarter 2024 Conference Call and Webcast. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Stacy Frole, Vice President of Investor Relations. Please go ahead. 
Stacy Frole: Thank you. Good morning and welcome to Papa John's first quarter 2024 earnings conference call. This morning we issued our first quarter 2024 earnings release. A copy of the release can be obtained on our Investor Relations website at ir.papajohns.com under the News Release tab or by contacting our Investor Relations department at investor_relations@papajohns.com. Joining me on the call this morning is Ravi Thanawala, our Interim Chief Executive Officer and Chief Financial Officer. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from these statements. Forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our SEC filings. In addition, please refer to our earnings release for the required reconciliation of non-GAAP financial measures discussed on today's call. Lastly, let me thank you in advance for asking only 1 question and getting back in the queue for additional follow-ups. And now let me turn the call over to Ravi. 
Ravi Thanawala: Thank you, Stacy, and good morning, everyone. Before I jump into my prepared remarks, I'd like to convey my appreciation to the Papa John's team and our Board of Directors for entrusting me to lead the organization as interim CEO. I'd also like to acknowledge the passion and commitment of our talented team members and highly engaged franchisees who continue to deliver for our customers every day. There is so much to be proud of and excited for as we begin our next phase of growth. We are navigating the current dynamic environment with a balanced approach to delivering improved unit level economics and company operating profits while also investing in the future. As such, in January we launched our Back to Better 2.0 strategy and in a short period of time we have achieved meaningful milestones. In the areas of enhancing national marketing investment and effectiveness, we launched our newest platform innovation, Crispy Cuppy 'Roni, across a trio of products at different accessible price points and introduced an all-new brand platform Better Get You Some that is part of our deepened commitment to and investment in our new marketing strategy. Regarding our focus on accelerating North America development, we improved the cash-on-cash paybacks on new North America development through attractive incentives. We also remain focused on enhancing unit level profitability and reducing overall build costs for new restaurant development. Finally, on our international transformation initiatives, we established international regional hubs led by proven leaders with direct industry and relevant marketing experience to help drive market share gains in key markets around the globe and are progressing the optimization of our U.K. market with the planned closure of 43 company-owned locations later in May and the active pursuit of refranchising opportunities for other locations. Our energy will remain focused on laying the right groundwork so we can continue to evolve our business, enhance our long-term performance and create value for our shareholders and ultimately become the QSR pizza brand of choice for consumers and franchisees around the world. Now I'd like to touch on our first quarter performance. In our North America business, results were mixed. But thanks to the highly disciplined approach of our operators, especially in our company-owned restaurants, remaining diligent throughout the quarter, restaurant level margins exceeded our expectations leading to higher adjusted operating income despite near-term sales pressure. In the first quarter of 2024, North America comparable sales were down roughly 2% from a year ago. This was primarily due to lower transactions as the continued growth in our aggregator channel was more than offset by a decline in organic delivery while our carryout business remained consistent with the prior year. This shift in channel mix also led to a slightly lower average ticket as the relatively profit neutral revenue from our organic delivery fee decline. Strategic pricing actions by our revenue management team helped to somewhat mitigate this delivery fee impact. In the current environment, we're also seeing customers become more deliberate in managing their overall order costs. So while our core offering pizza remained higher year-over-year, sides and beverages were lower. It has been my experience that brands that win consumers' hearts and minds on the most important days of the year have a unique role in their lives that brands are able to build upon. We are encouraged by our performance on traditionally high volume occasions for the pizza category during the first quarter; including Valentine's Day, Super Bowl weekend and March Madness; reinforcing our confidence in the strength of our brand. From an international perspective, we are pleased with the progress we continue to make in this dynamic environment. As anticipated, our Middle East region impacted our first quarter international comparable sales due to the ongoing conflict in this part of the world. Excluding this region, our international comparable sales were up approximately 1% from a year ago. For the first quarter 2024, global system-wide restaurant sales were $1.23 billion, down 1% in constant currency compared with the prior year's first quarter. The lower sales were largely due to the strong prior year first quarter, which had a benefit of approximately $10 million from the high volume week between Christmas and New Year's. The decrease in sales due to the calendar shift was partially offset by 3% net unit growth from the prior year. Total revenues for the first quarter were $514 million, down 2% from a year ago primarily reflecting a $9 million decrease in North America commissary revenues due to lower commodity prices in the quarter and, to a lesser extent, lower transaction volumes; a $9 million decrease in other revenues, which includes a $5 million impact from the sale of preferred marketing, our formerly wholly owned print and promotions business; and a $4 million decrease in domestic company-owned restaurants reflecting lower transaction volumes somewhat offset by higher average ticket. Partially offsetting these revenue declines was an approximate $10 million contribution from the 2023 U.K. franchisee acquisitions. Turning to profits. Adjusted operating income for 2024 first quarter was $43 million, up from $39 million a year ago. The key drivers of our improvement over last year's first quarter include: an approximate $2 million benefit from improved North America company-owned restaurant margins and domestic commissary margins; an approximate $3 million benefit from reduced local marketing reserves at our company-owned restaurants, a result of the recent change to our local and national marketing spend requirements; and an approximate $4 million benefit from equity forfeitures primarily resulting from the recent CEO departure. These positive impacts were largely offset by a roughly $4 million year-over-year impact related to the operations of our U.K. franchisee acquisitions when taking into consideration a first quarter 2024 operating loss and the first quarter 2023 franchisee royalty fees. Higher D&A expenses of approximately $3 million as we continue to invest in our restaurants and technology platforms along with the consolidation of the acquired U.K. restaurants and lower North America comp sales. Adjusted operating margins for the first quarter was 8.4%, up from 7.4% a year ago primarily reflecting improved margins at our domestic company-owned restaurants and supply chain improvements. Overall, our domestic company-owned margins improved 220 basis points compared with the prior year first quarter. Driving the improved margins was an approximate 110 basis points benefit from lower food basket costs as we continue to see relief in cheese and dough prices. Lower operating costs and a slightly higher ticket at our company-owned restaurants also contributed to our margin improvement while labor costs were only slightly higher by approximately 10 basis points. Our teams did a great job in the first quarter optimizing our labor model to meet consumer demand and delivering an excellent customer experience while also adjusting for shifts in channel mix. Moving on to cash flow and our balance sheet. In the first quarter of 2024, net cash provided by operating activities was $12 million, down from $41 million a year ago. After accounting for $13 million in capital expenditures for the development of new domestic restaurants and investments and technology innovation, we generated a cash outflow of $1 million. This compares with free cash flow of $22 million generated in the first quarter of 2023 primarily reflecting unfavorable working capital changes driven by the timing of payments in the first quarter of 2024. Our liquidity continues to be strong with $260 million in cash and borrowings available under our revolving credit facility and a gross leverage ratio of 3.1x. Overall, our teams around the globe continue to take a disciplined approach to running the business. We've improved restaurant level margins and operating profits to commodities normalization, revenue management and labor optimization in the quarter despite the lower sales. Our efforts are having a positive impact on our bottom line. However, there is more work to do. As I mentioned earlier, in January we launched multiyear strategic initiatives that are designed to drive higher system-wide sales, enhance restaurant level profitability and reinvigorate development over the long term in key markets around the world. I'm pleased to say while still in early innings, we've made meaningful progress against the foundational improvements we are implementing in our marketing platforms, our supply chain and our international operations. First, product innovation remains a cornerstone to our brand promise of better ingredients, better pizza and will continue to be a focus of our strategy. In April, we launched our newest platform innovation, Crispy Cuppy 'Roni, which is available across a trio of products at different accessible price points. In conjunction with this new platform innovation, we launched a modern refresh of our brand visuals, tone and message with Better Get You Some. This amplification of our brand is the culmination of our efforts over the past 9 months where we focused on improving audio segmentation, building customer loyalty and driving cultural relevance. This combination of brand and product innovation helps the consumer to appreciate the strong value proposition Papa John's provides. While it's only been 5 weeks since we launched our new brand platform, early research of the campaign showed an increase in the consumers' purchase intent. Moving ahead, we're focused on improving sales by our revenue management strategies, ongoing loyalty improvements and adapting our media strategy mix to maximize effectiveness across channels. Second, to support the new brand platform and leverage the scale of national investments to deliver, our franchisees voted last year to increase the contribution rate to the national marketing fund by 100 basis points of sales beginning in the second quarter. As part of the consolidation to national funding, we made local marketing spend optional for the system. For our domestic company-owned restaurants, we intend to optimize our local marketing spend in 2024 and still see value in investing in certain local marketing co-ops and brand partnerships within specific markets to build upon the strong community relations already in place. Many of our franchisees are taking a similar strategic and targeted approach given the additional optionality the new marketing fee structure provides. The initial customer response and reviews to our new product innovation and brand platform have been positive, but the highly competitive promotional environment has been a headwind to transactions. We believe Papa John's perceived value is about providing high quality product innovation at the right time at the right price. It is important that we maintain discipline in our limited time offers, pricing strategies and product innovations for the long-term success of the business although we won't hesitate to make short-term adjustments as we deem appropriate on a market-by-market basis to remain competitive. Third, as previously discussed as part of our Back to Better 2.0 strategy, we're evolving our domestic commissary business to support additional investment in supply chain productivity. Beginning with the first quarter, we increased the fixed operating margin that our domestic commissaries charge by 100 basis points from 4% to 5%. We plan to continue this annual increase until 2027 when the fixed operating margin reaches 8%. At the same time, our franchisees can now earn incentive-based rebates by delivering higher volumes and new restaurant development. Through the first quarter, more than 40% of our franchisees are on track to earn a rebate in 2024. As we drive higher volumes through our supply chain model, we intend to reinvest into this segment to increase productivity throughout the system making our supply chain even more effective. Modernizing equipment, automating processes and negotiating contract renewals as we continue to scale are just a few examples of our opportunities available to Papa John's. Fourth, unit level productivity is a primary driver of unit development and we are confident supply chain efficiencies will deliver improved results over the next several years. In addition, we have been focused on rebuilding and elevating our development team to accelerate North America new unit growth through franchisee cultivation, quality site selection, lower cost to build and quicker speeds to open. As part of this process, we're evaluating and revamping every aspect of the development process from general contractor selection and architectural costs to leasehold improvements and furniture fixtures and equipment. These improvements are delivering real-time cost savings and will offer franchisees more resources throughout the development process in addition to greater contractor, supplier and equipment optionality based on market and anticipated restaurant volumes. The development incentives announced last November combined with the improving cost to build significantly improves the cash-on-cash payback for our developing franchisees who opened new units in 2024 and 2025. The attractive ROI on newbuilds and the strength of our brand gives us confidence new unit development in North America will continue to accelerate. Now moving to our international transformation initiatives. Our #1 focus is to ensure we have the right foundation to support and drive long-term success. This means being closer to the consumer, continuing to focus on menu innovation that is locally relevant and making sure we have the right insights to help our franchisees win in their markets. In the first quarter, we launched our international regional hub structure with proven leaders that have direct industry and relevant market experience. These hubs are designed to help our international franchisees to drive sales and profitability by aligning global best practices with local preferences and the resources to accomplish our long-term objective of increasing share in key markets around the world. We are also advancing our efforts to optimize the U.K. business model. Most recently, we announced plans to close 43 underperforming company-owned restaurants later this month. We'll continue to evaluate our remaining portfolio as well as our franchisee locations focusing on sales trends, overall profitability and their lease and loan obligations. Through this process, additional strategic closures and refranchising opportunities will be considered as we look to drive profitability and strengthen our franchisee base. We believe with these actions, the U.K. market will become profit accretive in the second half of this year. Finally, we're investing in our international consumer-facing technology and digital infrastructure to improve purchase conversion, increase customer retention and deliver faster consumer insights to franchisees. There remains significant white space for the Papa John's brand internationally. And while we saw more foundational investments to make, we're confident that the actions we are taking are setting our largest international markets up for profitable market share gains over the long term. Looking at our outlook for the balance of the year. For the first 4 weeks of the second quarter, North America comp sales were down approximately 1% and may remain under pressure in the near term as the challenging macroeconomic environment continues and consumer confidence softens. Because of this, we have chosen to update our full year guidance with a more cautious outlook. If orders remain at a similar level as the past 4 weeks, we anticipate 2024 North America comps to be flat to down low single digits for the full year 2024. As a reminder, we are in the early stages of our Back to Better 2.0 investments and are committed to providing updates as the year progresses. Internationally, we remain in a dynamic environment and continue to maintain a cautious outlook on international comps in 2024. Based on the lower sales outlook and assuming we remain at similar levels for the remainder of 2024, we would anticipate 2024 adjusted operating income to be between $145 million and $155 million. Our teams remain focused on executing against our strategies and maintaining cost discipline. We continue to expect benefits from the increase to our fixed commissary margin; our international transformation initiatives, notably the closure of U.K. restaurants we mentioned earlier; and an increase in North America development. However, these benefits will likely be offset by lower North America comparable sales combined with higher G&A expenses and higher D&A expense that have been discussed previously. In terms of other nonoperating expense items: we expect net interest expense to be between $40 million and $45 million, our capital expenditures to be between $75 million and $85 million and our tax rate to be between 23% and 26%, all consistent with our prior guidance. From a development perspective, the North America market is our most accretive development for Papa John's and we remain committed to accelerating the expansion of our domestic footprint moving forward. In the first quarter, we added 14 net new North America units bringing our total North America restaurant count to 3,447. For fiscal year 2024, we expect net new units for North America to increase more than 20% relative to 2023 net unit openings. From an international perspective, we saw 23 new restaurant openings on a gross basis. These new restaurant openings were offset by 29 closures primarily in certain Middle East markets and China. This brings our total international restaurant count to 2,467. We are maintaining a cautious approach for our international markets and expect gross openings between 100 and 140 new international restaurants for fiscal 2024. We continue to review the performance of our international franchisees and may initiate additional strategic closures to improve marketplace health or exit unprofitable locations. As such, our net openings could be impacted by the closure of underperforming locations to enhance long-term profitability. Finally, as we look to the longer term, we continue to see significant opportunities to drive higher system-wide sales, global development and overall profitability as we continue to execute on our strategy. Given the current dynamic environment and business trends we discussed today, our longer-term targets are under evaluation as we want to ensure our goals are achievable and aligned with our strategy. In summary, we are executing against our Back to Better 2.0 strategy. This strategy is designed to drive restaurant profitability, improve supply chain efficiency, increase marketing effectiveness and reinvigorate global development. We are making steady progress as our teams are collaborating across departments and geographical borders laying a solid foundation for our next chapter of growth. I'm confident in the strength of the Papa John's brand, our team, our company's long-term performance potential. I look forward to sharing our progress with you throughout the coming year. Now I'll turn the call over to our operator to take your questions. 
Operator: And our first question comes from the line of Jim Salera from Stephens Inc. 
James Salera: Ravi, can you just give us an update on what you're seeing in the aggregator channel as far as demand especially as we've heard more consumers kind of engaging in value-seeking behavior, how your presence on that and your own proprietary digital channel helps convey value? 
Ravi Thanawala: Well, Jim, thanks for the question. And I'll start there, but I may need you to repeat the second half of that question in a moment. So first, we've been on the aggregator since 2019 and have been leading in that space. More broadly what we're seeing is that the pizza category continues to perform well and take share within the aggregator universe. Second, the benefit of the aggregators is that they are highly convicted consumers that are ready to purchase when they're on those apps. What we're specifically seeing is continued growth year-over-year and the aggregators represented 16% of our business in Q1 relative to 12% in the prior year. Also we continue to see growth quarter-over-quarter. We think that the aggregator experience when consumers are on it is a very specific occasion so how we communicate value and how we communicate growth there. We are continuing to stay really focused on menu innovation cutting through, doing great jobs on making sure navigation is coming to life. And then we're in the market pretty consistently testing different pricing strategies to make sure we strike the right balance at a geography level on balancing the premiumness of our product as well as value that the consumer needs. Jim, I don't know if I got that second half of your question. 
James Salera: Yes. The second part was just relative to what you're seeing on your own apps, the proprietary channel? 
Ravi Thanawala: Yes, absolutely. And similar to what we spoke about in prior quarters, we are seeing the aggregators outperform our organic delivery and carryout business, specifically our organic delivery business. Maybe 2 important points. I think the good news in this is that like aggregators gives us a really clear opportunity to win new consumers who are a younger demographic, more diverse overall. So we see a lot of strategic benefit in continuing to grow aggressively in this channel. Organic delivery has continued to decline year-over-year. And we're really focused in the second half of this year on how do we communicate the value of our service, of our offers more clearly in our organic delivery business and making sure everyone understands the value that our loyalty program provides in our native channels. But there has been a spread between the 2. And just as a reminder, the margin profiles on the aggregator business and organic delivery business are slightly different given how the pricing architecture is [ structured ]. 
Operator: And our next question comes from the line of Eric Gonzalez from KeyBanc. 
Eric Gonzalez: I just want to talk about the current strategy. I mean I want to maybe ask you about your confidence level that the strategy is working. And I realize the environment shifted where several of your competitors have called out the more cautious consumer. But how do you know that the shift away from regional marketing isn't having an adverse effect on your results as it seems like the quarter-to-date same-store sales trends are probably quite a bit below what you had hoped for back in January? 
Ravi Thanawala: Thanks for the question and I'm going to take that in 2 parts. First, more broadly the Back to Better 2.0 strategy had a couple of really clear filters to it. The first was find ways to improve unit economics. That comes to life through continuing to remix the total amount of marketing spend to drive higher [ ROAs ]. Improve and incentivize supply chain commissary margins by giving rebates for really meaningful growth. And three, this really clear focus that we're taking in terms of our new national marketing strategy. When we look at April results, there are a few things that we want to call out. Where we're seeing challenges from a traffic standpoint actually started slightly prior to when we went live with the new marketing strategy. We saw slightly softer sales in the month of March than what we expected. So that's one important thing. Second is that when we actually look at consumer behavior, what we're actually seeing is that consumers are check managing a little bit more and we're seeing slightly higher exit rates at certain points in the consumer funnel. Those to us give us the indication that this is more about a softening of the consumer and a slightly higher value orientation versus directly tied to anything in a creative and media strategy. What I will say is we are 5 weeks in to our creative and media strategy; new visuals, new tone, new media mix. There's obviously some ongoing calibration that we're going to want to do. But as we've actually done the consumer testing work, we're absolutely seeing purchase intent go up as we've tested this new creative and media strategy. So we will continue to keep you in the loop and keep the investor community in the loop in following quarters of our progress, but we believe we're on the right track from a creative and a media standpoint. 
Operator: And our next question comes from the line of Sara Senatore from Bank of America. 
Sara Senatore: I guess 1 question and then a follow-up, please. The first is that at the end of March when you announced the CEO transition, I think you reiterated or reaffirmed the guidance for fiscal '24. It sounds like you said March was a little softer than you had expected. I'm trying to understand then maybe what's changed since the third week of March and now given that it sounded like you're already perhaps seeing some of the softness materialized? 
Ravi Thanawala: Yes. To be clear and clarify, we were seeing some slight softness in traffic. However, we were continuing to work towards our creative launch and media launch, new innovation launch in the month of April. Throughout the month of April, we saw that the consumer behavior continued to soften particularly in elements of traffic and check management. And that's really the differential of what we started to see in the month of April. 
Sara Senatore: Got it. Okay. And then in that context, I know you mentioned your -- it sounded like you're not looking to kind of match the promotional intensity that competitors are engaging in. But I guess ultimately to grow transactions, how do you plan to do that if what consumers are looking for is value? And I guess maybe said otherwise, do you have a choice to try to be more aggressive or sharper in your price points if that's what consumers want and that's what's driving traffic growth elsewhere? 
Ravi Thanawala: So we think we have multiple levers to be able to demonstrate value to our consumers. So first, when we think about Q1, what happened from a comp standpoint was that pizza sales continue to be up year-over-year to sides and beverages and the profit neutral delivery fee is where we started to see compression. So we're actually pretty clear on where our opportunities are to continue to bend the curve from a sales comp standpoint. Second, our loyalty program is a great toolkit and a great opportunity for us to continue to reinforce the value that we can offer in our organic channels. And lastly and importantly, we are testing continuously and will continue to test different pricing and promo strategies particularly for the carryout business to ensure that we can communicate the great service we offer plus the value in our carryout business. 
Operator: And our next question comes from the line of Brian Mullan from Piper Sandler. 
Brian Mullan: Just a question on G&A. Ravi, can you speak to what your expectations are for this year and what you incorporated into the operating income guidance? If I'm doing it right, it seems like Q1 was about $49 million or $50 million on an adjusted basis. Is that a good run rate for the next couple of quarters? And then just related to that, you've had some more time in the seat first as CFO, now you've stepped into a bigger role. Do you see any opportunities across the organization to get more efficient on G&A bigger picture over the next couple of years? Is it possible to make cuts about hurting sales? Just fresh set of eyes, would love to get your perspective. 
Ravi Thanawala: Yes. So thanks for the question, Brian. So first on G&A, I just want to remind us that in Q1 there were a number of puts and takes that are happening that were onetime in nature. So on an adjusted basis, I think we're going to be slightly above $50 million for the run rate for the next few quarters. And to remind everyone that we are still lapping the U.K. acquisition that happened in 2023. When we look at like opportunities, we're absolutely taking a really focused cost discipline approach to running and operating the business. We're going to want to continue to invest in our strategic growth drivers of the company in the future, which is really around product innovation, marketing and our tech stack. We're looking for opportunities continuously to be highly streamlined as an organization and continuing to look to drive foundationally better unit economics for our restaurants. 
Operator: And our next question comes from the line of Brian Bittner from Oppenheimer. 
Brian Bittner: My question is on the new EBIT outlook for 2024. I understand that you're now assuming lower same-store sales than you originally were. But when I take a step back and I look at 1Q's EBIT, it was very strong. Margins expanded 100 bps, EBIT grew 10%, beat consensus by a meaningful amount on negative low single-digit same-store sales what you're assuming moving forward. The guidance would assume this trend in EBIT changes pretty meaningfully for the rest of the year. Can you maybe just unpack some of the assumptions in EBIT moving forward versus maybe the strength that you saw in the first quarter? 
Ravi Thanawala: Brian, thanks for the question. And first, I just want to reinforce that we are taking a really disciplined approach to running the business once we're in quarter and we're thinking about how we're investing going forward. More broadly if you actually look at the Q1 results from EBIT and unpack the onetimes, we are slightly above last year on an adjusted basis if you exclude the impact of onetimes this year versus last year. Well, broadly if you look at the full year guide and take the midpoint of that, that's effectively a flat OI versus last year on a 52-week basis. So I just want to provide that little bit of context. Second, as we look through the balance of the year, we know that the consumer is going to be more value conscious as we see check management happening and we're watching exit rates and abandonment rates throughout the consumer funnel. Second, we're going to want to take a more aggressive approach to testing strategies related to pricing promotions and our media mix for the balance of the year. So we're just taking a more cautious approach to how we think about the EBIT or OI outlook for the balance of the year. But I want to give confidence that if you look at our results in Q4 of 2023 and Q1 of 2024, we're highly focused on driving unit level economics, which we think will spur the right development for the brand over the long term. 
Operator: And our next question comes from the line of Lauren Silberman from Deutsche Bank. 
Lauren Silberman: I wanted to ask about the international comps and what you're seeing there. One, are you seeing any signs of improvement in the Middle East and if you can quantify the impact? And then two, can you talk about the performance across some of the other markets outside of the Middle East more specifically? 
Ravi Thanawala: So we are seeing that the Middle East performed better in Q1 relative to the run rate that we had been on in the prior quarters. And just as a reminder, it's a small component of our business from a system-wide sales standpoint, but has been historically a really meaningful development driver of the company. We have seen more than a 10-point acceleration in terms of the comp run rate as we progressed from 2023 in the fall and winter to what we were seeing in the first quarter of 2024. More broadly when we think about our international strategy, we set up this hub strategy to give us laser focus on a few regions that matter the most for the business and the company. The way that's coming to life is like really clear, sharp perspective on product innovation and the consumer target. So in the U.K., we've seen flat to slightly negative comps through the first quarter and what's important there is as we unpack it is that restaurants have changed and some more seasoned operators, we're seeing double-digit increases in terms of sales performance. We recently launched a new product innovation across our platform of products, which had the highest penetration we've had for an innovation LTO for a couple of years. In LatAm, our largest market Chile, we saw the strongest performance in this quarter and got us back on a good trajectory. It's easy to read into like China and say we had some strategic closures. I think the way that everyone should look at that and think about that is we're taking on the necessary pruning of locations that aren't productive, that aren't as fit to our go-forward strategy from a real estate standpoint. But ultimately we are even seeing improvements in our China business from a comp standpoint in Q1 relative to the run rate that we've been on. So we have a laser focus on a few regions in a few countries that matter the most in international. 
Operator: And our next question comes from the line of Andrew Strelzik from BMO Capital Markets. 
Andrew Strelzik: I wanted to ask about the development pipeline in North America and how you're seeing that build as you have a few more months of the incentives under your belt. What kind of visibility do you have to the guidance that you've given for this year? Do you have any visibility to next year as well? And I guess I know you're doing a lot of things to support the economics currently, but I guess do you see risk given the top line outlook that maybe some of those conversions get pushed out or don't come to fruition? I guess how are you thinking about that? 
Ravi Thanawala: Thanks for the question, Andrew. There's quite a few things there that I want to unpack. First is just a little bit of context. Like myself and Joe Sieve, our Head of Restaurants in North America and who also leads development, we're meeting every single month with the cross-functional team to talk about the pipeline of restaurant openings for North America and a couple of really impactful things. One, we reaffirmed that development in North America is going to be upgraded to 20% year-on-year. As I look at the pipeline of restaurants that are in the pipe, whether there are leases that are being negotiated at LOI that are in construction design, we're meaningfully above that 20%. So we feel good that we're tracking against those objectives. Second, we are really focused on unit level economics at Papa John's and everything we do is balanced and things that we're doing to drive top line and great consumer demand and making sure that's flowing through to penny profits in our restaurants. And as we look at Q1, we talked about the fact that our restaurant margins were up 220 basis points. When we even look at the month of April and looked at what's happening from a product margin standpoint even though we had a negative comp, we did deliver positive product margins for the month of April. What that means is we believe that we are on the right strategy to continue to focus on delivering really meaningful improvements in terms of our unit economics from a restaurant standpoint. And then lastly, from a construction and a build-out cost standpoint, we shared a little bit more detail in our prepared remarks around like the stringent and thoughtful RFP process we're going through to make sure we're driving costs out in an effective way from general contractor spend to furniture and fixtures and we're also doing things like taking a step back and looking at our holistic architectural design to making sure that we're optimizing for construction costs. So we are focused on it and we're focused on making sure development comes to life because we have solid unit level economics and we are delivering strong restaurant profitability. 
Operator: And our next question comes from the line of Alexander Slagle from Jefferies. 
Alexander Slagle: Ravi, I wanted to get your perspective, I guess a follow-up on Jim's question earlier on the third party. Kind of at what point does the third-party business get to an optimal size? I know it's continued to grow nicely and you've called out more opportunity for some of the noncore dayparts and other growth avenues. Just trying to get a sense how big you think it could be and if you get the sense franchisees are continuing to be happy with this trajectory and where it's gone. 
Ravi Thanawala: Thanks for the question. Fundamentally, we're taking the mindset that the consumer decides. We are going to make sure that we are at the right places, at the right time, at the right price point. And while the aggregator business has continued to accelerate, we see that as a consumer pattern that pizza is taking more share in the aggregators and we've continued to perform well because we've executed well in that space. So while I don't know what the ideal mix is, I think we should be watching consumer behaviors to see like how much are consumers migrating to that. What I would say is what is unique to the organic channels is we have a strong royalty business. We have a large base with a high active rate. When I look at my experience at other digital-first companies, we have a really solid active rate in terms of members and we get to offer value to our most loyal consumers in a different way. So our objective long term is not to have our organic business decline and only our growth coming out of aggregators. We believe that there is going to be opportunity for us to continue to focus in to delivering great service and offering great value to our loyalty that has unique value that you can only get on our organic delivery and carryout channels. 
Operator: And our next question comes from the line of Dennis Geiger from UBS. 
Dennis Geiger: Ravi, wondering if you could talk a little bit more on the newbuild cost topic. Is there anything you can share on sort of how much lower you're targeting, maybe how much lower those costs could be or even if you look at it from a returns or payback period, is there something you're targeting there that you guys are able to share between lower build costs as well as incentives where you're at x and you're trying to get those paybacks to y and that's kind of the magic number for the U.S. franchisees? Anything there to share? 
Ravi Thanawala: Thanks for the question, Dennis. While we don't share what the build-out cost is, I did reference earlier that Joe Sieve and myself are consistently in corporate real estate committees and we're looking at both franchisee deals as well as corporate restaurant opportunities. And what I can say is that really solid pipeline of corporate restaurants that are generating solid IRRs that we as Papa John's would continue to invest our capital in. Specifically in terms of like what we're doing to drive down cost, we're looking at a few big areas, but we're looking at the biggest blocks of expense, which is truly like in general contracting. And second is around equipment and we're running through a really deliberate process to ensure that we are getting great regional rates on our equipment and GC cost. We're providing more optionality for our franchisees based on volume of the store to make sure that we are building out the store appropriate to the volume that it's going to do and the location. So while we don't share specifics, what I'll tell you is we're doing the right strategic and tactical efforts to drive down cost. And as a franchisor, we're continuing to develop and we're developing because the IRRs are healthy on the deals we're signing. 
Operator: And our next question comes from the line of Todd Brooks from The Benchmark Company. 
Todd Brooks: Wondering, Ravi, you talked about lower attach of beverages and sides. Can you comment what average check what the decline was during the first quarter just so we get a sense of what that headwind is manifesting itself as? And just following up on a couple of the third-party delivery questions. I know the company has long talked to new entrants growing the category. But when you look at Uber Eats specifically, is Papa John's growing their share on that channel given new entrants recently? 
Ravi Thanawala: Todd, thanks for the question. So first when it comes to average ticket, we just want to make sure we remind you and everyone that like ticket was actually slightly up to flat for the quarter driven by pizza sales being up; sides, beverages and delivery fees coming down. We still believe that we can unlock some real value by having the right balance of focus on driving attachment, but also leaning into a core product proposition itself. Specific to Uber Eats, we have been tracking where we have been performing given that the competitive space has gotten -- there's more competitors on it. And as we previously stated that we believe that there is enough volume for the large chains to be on there and we've been continuing to feel good that we are on track in our business on that channel relative to what our expectations were. And Todd, I actually want to clarify that our ticket was down about 0.5% for Q1 and again that was all specifically related to sides, beverages and the delivery fee. 
Operator: And our next question comes from the line of Peter Saleh from BTIG. 
Peter Saleh: I did want to come back to the conversation around check management or mix management. Ravi, are you seeing that check management just through your organic channels or are you seeing it in third party as well? And can you comment on the behavior of I guess traditional customers versus rewards customers or loyalty customers in that context of the check management? 
Ravi Thanawala: Thanks for the question, Peter. So there's a couple of factors. One, like we believe in this notion like that the consumer decides. So what we're seeing is that the consumer is mixing into their channels differently and into their dayparts differently as well. So as we see check management coming to life, we're seeing that the organic carryout business was effectively flat in Q1 versus the organic delivery business that was down. Naturally when your mix moves more towards carryout versus organic delivery, you see a slight decline in the attachment rate just because the mindset and the occasion for the consumer is slightly different. I think more broadly like consumers are coming to Papa John's right now while they're doing check management. They're buying the things that we are famous for and that is for our core offerings of pizza and our specialty pizzas. So we are seeing that the consumer is spending more year-over-year in pizza and they're pulling back in sides and beverages. We think that we're going to continue to test offers by continuing to improve that mix, but ultimately we're seeing that consumers are using the channels of -- how often they're using the channels of aggregators, delivery, carryout slightly different. And second, we're seeing that the consumer vote for the things that we're most famous for. Specific to loyalty versus non-loyalty, we continue to see that our loyalty consumers are the core of our business and it is a highly active and engaged group. While I don't have any specifics at my fingertips in terms of the differential in behavior there, but what I will say is like with our loyalty consumers, we have the ability to touch them much more frequently through e-mails and through app pushes that allow us to nudge behavior a little bit differently. 
Operator: And our next question comes from the line of Jim Sanderson from Northcoast Research. 
James Sanderson: I wanted to go back to the International segment. I think you mentioned expecting that the back half of the year could be accretive and that you were also reviewing potential closures. Can you just provide a little bit more detail about what that entails? And that's in the context of McDonald's recently announcing that they did buy out a franchisee in the Middle East. Just wondering if that's on the table in other marketplaces or in the U.K. 
Ravi Thanawala: Thanks for the question, Jim. And I just want to make sure I clarify for the group that we were specifically talking to the U.K. turning accretive in the second half of the year. We believe the fundamental of our business model is to be a franchisor and that is the core of what we do is we provide great unit economics, we provide great brand and product innovation. As we think about like the success in the U.K., I think there's some like real natural learnings that we can continue to apply to other markets. We got highly consumer-centric in terms of like what was the consumer telling us they needed from a value and a product innovation standpoint. We made sure we were positioning our franchisees to deliver fantastic service. And as we started to change hands between franchisees and continue to get our stores into more seasoned operators, we saw meaningful sales lift. And third, as we went back and remapped our trade zones, our DMAs; we saw opportunities where we should be making strategic closures because it makes the overall market more profitable, it improves unit economics, it allows us to have really cohesive trade zones. So we're partnering back with our franchisees across the world to take a similar playbook of being highly consumer-centric, making sure product innovation is coming through and pushing us as an organization to making sure we're laser-focused on the trade zones, the DMAs and cities we want to win in. 
James Sanderson: Okay. And just a quick follow-up. In the U.K. specifically, do you think your service levels are improving? 
Ravi Thanawala: Yes. When we look at delivery time, when we look at out-the-door times, we are seeing improvements. 
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Ravi Thanawala for any further remarks. 
Ravi Thanawala: Thank you. I'd like to sincerely thank all of you for your time this morning and your continued interest in Papa John's. I hope that you've taken away from our conversation today that we're facing a challenging macro-consumer environment where customers are really being thoughtful about check management and their wallet, but we have a plan of action and remain confident that our Back to Better 2.0 strategy is going to set us up for long-term growth and success. And we look forward to keeping you up-to-date on our progress and connecting again for our second quarter results in August. Thank you. 
Operator: Thank you, ladies and gentlemen, for your participation in today's conference.